Peter Pudselykke: Good afternoon and welcome to our conference call here today. A couple of announcements out from us last night, one on the interim report and one of the initiation of a Restructuring Plan for EPOS. We'll run through a presentation touching on both the topics and as always we'll switch over to Q&A when we're done. Just on a practical note, the presentation should now be on our website and as usual we plan for the call to last no more than one hour, including the Q&A session. On the call today, it's as always Søren Nielsen, our President and CEO, René Schneider, our CFO and then the IR team, Gustav Høegh and myself, Peter Pudselykke. And with that short intro, I'll just leave it over to Søren, please.
Søren Nielsen: Thank you very much, Peter. And the agenda today is key events, financial takeaways, sustainability achievements, a bit more deep dive into the business areas to give more color and flavor to how things are developing. René will go through group financials and speak a bit more to the restructuring of EPOS and I will finish off with the outlook, after which we can go to Q&A. A key event for first half performance in first half was obviously, and as announced earlier in July, below expectations. Following our updated view on also second half, we lowered the group's expectations for growth and EBIT. And a major or key element in that is the development, current development in the hearing aid business. In addition to that, we also saw the diagnostic business growth at a slower pace than expected. U.S. hearing aids being impacted by and more negatively impacted, as we have talked about, by our chosen brand strategy in U.S. I'll go more into that on the business area. In hearing care, good strong momentum accelerated as expected from Q1 into Q2 and deliver strong performance and has further been supported by continued acquisition. As announced on May 21st, we have closed the divestment of our cochlear implant business to Cochlear. Our bone anchored hearing aid business remains with the group for now, but also they are pending a review of the strategic options. The business is doing well and deliver profit and nice results. We have concluded on the strategic review on communications and based on that decided to initiate a strategic or a significant restructuring process to resize the organization so it better fits to the current revenue and therefore after that continue to look for new ownership and divest the business. A little more on IPOS. We have now concluded on the initiated process and you can take a few key conclusions away from that strategic review. First of all, it is still a Demant strategy to become a focused hearing health care company, meaning we will continue to pursue the effort to divest the business. Secondly, the process did confirm that there is good value in the company. It holds strong technology. It has a good exposure to the market, a robust go-to-market model. However, it's obvious that some of the investments that have been made in past year have not given the expected return and been able to grow a top line sufficiently. So it is the financial results that at the end became a barrier to reach an agreement with a potential buyer and therefore we have decided to as of today to initiate a significant restructuring plan so the business will be resized to the organization that fits the top line but with exactly the focus that things that deliver return where we know we drive a top line and there is a good correlation between money spent and money made is foregoing and a number of the things we have invested in with the long play and a growth plan but have not been able to deliver, they will be taken off and down prioritized so we can get to a small organization that can focus on delivering on its core strength. The process of finding a new buyer or new owner and divest the business will be re-initiated as soon as we have proven we can deliver results, positive results and have shown which I'm convinced we can, a stable, more stable business that deliver good results on an everyday basis. René will come more into the financial side on it in his section. So key financial takeaways from first half, group's organic growth was 3% which is below expectations. We see ourselves as a company that on a continuous basis take market share and grow above the market. This is obviously not the case in the first half year and therefore below our expectations. The positive in it, but though a consequence of especially customer mix, is that we have seen a very strong development to the gross margin coming from a quite significant or a nice increase to ASP, but basically because a number of lower priced units sold to customers that typically buy in larger volume at lower prices have not bought in line with expectations, and also some improvements in the diagnostic business. OpEx increased with 7% organically in the first half, and that's to some extent a reflection on the buildup during last year, whereas we have said before we started very cautiously into the year, but as the good results came in, we decided to invest more in the future of the business and therefore saw a ramp up during the year. EBIT before special items, DKK2.068 billion, a decrease of 4% and of course again not satisfactory and not in line with expectations, and therefore a drop in margin of 1.5 percentage points due to lower operating leverage. The business delivered a very solid cash flow with cash flow from operations around DKK1.5 billion and free cash flow of DKK1.157 billion. The revised outlook is now 2% to 4% organic growth for the group, and then EBIT before special items of DKK4.3 billion to DKK4.6 billion as announced in July. Sustainability advancements in the first half, we saw an increase of 3% in our Scope 1 and 2 CO2e [ph] emissions. This is purely related to further expansion on hearing care. We of course have to take upon us also to reduce emissions coming from these acquisitions and in general further strengthening our or lowering our emissions. We have though been able to increase our share of renewable energy in the period and we actually expect in the coming 6 months to 18 months to see a significant uplift on that. The share of women in top management has increased to 30%, which was our goal for 2025, so getting there ahead of time. Business area review, first of all hearing aid market. I'm sure many of you follow it closely, but big picture you can conclude that the hearing aid market remains solid and strong. Deliver 5% unit growth in Q2 following the 3% in Q1. However, with a slightly different mix, more growth in Europe, mainly coming from NHS in the U.K., the government channel growing in a combination of quite significant increase of private fitted public instruments as well as hospitals with growing volume, whereas the commercial side of the U.S. business have decreased compared to Q1 and reached a more normal level of 6%. VA in U.S. still run below expectations with just a single percentage growth, which is still due to constraints in rehiring when the staff is leaving due to all budget constraints. In the rest of the world we still estimate a relatively low positive growth and one of the main drags is China, where we still see a somewhat difficult market development. Hearing aids in second quarter, we only delivered 1% organic growth to external customers. A significant loss of market share with U.S. managed care is the biggest element in that equation for sure, but also with a number of channels, customer segments where price is a key focus, we have lost some volume and therefore we see a half year where we have a negative unit development of 6%, but as a consequence of the product mix or the customer mix, channel mix, geography mix, a strong ASP development of plus 11%. So that way, again, supporting strong gross margin for the business. Europe performing in many medium-sized markets, slightly negative growth in France due to market development. U.K. grow below market, again, driven by that we are not currently playing in the, we call it AQP, which is private-fitted government instruments. And then we have seen strong growth in VA, a nice uptake compared to last year and a continued expansion of share, very strong growth in Canada, but negative growth is U.S. driven by the significant loss of market share in Manage Care and that we, in the short run, not have been able to compensate that with additional sales to the independent dispensers, not that that's not happening, but it's not happened at a speed by which we can compensate for the more negative reaction than anticipated from some of the players in the managed care segment. Slightly positive growth in China despite the somewhat negative market dynamics, so a gain of market share, obviously, and good growth in several other medium-sized markets in Asia Pacific. Hearing Care in the second quarter, as I said, the expected increased momentum coming from Q1 into Q2. We saw it at the end of Q1 and with some positive momentum in France, strong growth in many midsized countries in Europe. And then a nice contribution from acquisitions, particularly in Germany and Belgium in line with our strategy. In Canada, we have seen a strong performance, and we have also seen in light of a significant change in mix between private pay customers and managed care customers, we have seen a positive growth, which I'm very happy to see that we have managed to change the mix in our own stores, which builds nicely for the future. Positive growth in Australia and negative growth in China due to market headwinds. Diagnostics in the second quarter, flat 0% growth, which is, I would say, unusual. As you know, this business have managed to generate organic growth nicely for many years. We are so big in this market that this more reflects, you would say, general market development, then a loss of share, which we have no indication we do on the contrary. It is especially access to the Chinese market, which has been -- become increasingly difficult unless you have made in China production, and we have two smaller portfolio currently of products that are made in China for the Chinese market. We are, of course, working to change that, but it cannot happen overnight, but we work on it, and then negative growth in our balanced products. These two things isolated is what really drives the flattish sales, the rest of the business have developed in line with our expectations. Positive growth contribution from service, consumables, all the other categories and especially the hearing instrument feeding, where we still see nice development. Over to you, René.
René Schneider: Thank you. Going to the financial review of the numbers, starting with revenue, where we reported 4% growth. Of this, 3% was organic growth, which is below our expectations, driven by hearing aids and diagnostics, even if we consider the strong comparison numbers from last year. The organic growth was 3% in both the Q1 and Q2. Acquired growth was 2%, predominantly driven by hearing care, but also a small positive contribution from hearing aids in the second quarter. And then lastly, a minus 1% from FX. When we look at gross profit in the first half year, it was a very solid growth of 6%, and a quite substantial margin increase of 1.8 percentage point, which is better than expected and has been driven by a positive ASP development and a very strong product mix in hearing aids, and also a meaningful gross margin improvement in the diagnostics area. These are the two main contributors, and then adding to that a slight positive impact by both the business mix and FX. Operating expenses in the first half year grew 7% organically and 3% from previously mentioned acquisitions. When we look at the organic growth of operating expenses, you might recall that we reported a low double-digit growth in the first quarter, which you can say basically implies that second quarter growth in OpEx organically has been mid-single digits. So you have seen a deceleration from Q1 into Q2 in our OpEx growth. And we expect that deceleration to continue into second half year. Both because we annualize the step-up of OpEx from last year, but also because of the initiatives that we have taken as a consequence of our top line growth not being in line with expectation. We expect that the OpEx growth organically in second half year will be low to mid-single digit. EBIT before special items was DKK2.068 million, which was a decrease compared to last year and a contraction of the EBIT margin of 1.5 percentage points. And this is despite the very strong gross margin reflection of, you can say, less leverage on our OpEx cost base, which is also why we have taken previously mentioned initiatives to reestablish EBIT margin and bring OpEx growth more and better in line with the anticipated top line growth. Cash flow was solid. We saw cash flow from operations of just shy of DKK1.5 billion. The decrease compared to last year is related to higher tax payments and increased net financial expenses. We have seen lower capital expenditure, now down to 3% of group revenue as we have invested less in property, plant and equipment, generally speaking. Net cash to acquisitions was DKK763 million, and we continue to consider acquisition an important part of the strategy, and you should also expect that going forward. The share buyback in the first half year amounted to DKK1.137 million, and we bought back 3.3 million shares. And also that we give an updated outlook on and now expect DKK2.3 million for the full year. On the balance sheet side, the balance sheet grows 6%. This is solely a consequence of acquisitions, whereas the organic growth and exchange rate impact was roughly flat. When you see a significant development on some of the individual items, it is related to the fact that we now put the communications business as assets held for sale and reported in such a manner. The interest-bearing debt amounted to just shy of DKK14 billion, and our leverage ending the period is 2.3%, which is within our guidance range. So going a little bit more into detail around the financial impact of the restructuring plan for EPOS and also updating on the discontinued business in general. So as a reminder for everyone, we have two main elements in our discontinued operations, meaning businesses we hold for sale. One is our communications business, and the other is our hearing implant business. So if I refer your attention to the table on the right-hand side, and we deal with the communications business first. As you can see from the table, the communications business has been loss-making in the first half year of 2024. But what we expect for the second half year of 2024 is a continued loss in Q3. But given the restructuring that we are doing, or intend to do immediately, we will see a profitable fourth quarter. The one-off impact of the restructuring has a negative impact of DKK400 million. Those DKK400 million, we estimate roughly DKK75 million only to be cash effect, whereas the remaining DKK325 million is noncash. You can basically say it's balance sheet reevaluation of the different items that relate to the communications business. So adding this together for the full year, now net operating loss, we expect minus DKK500 million, where it was previously minus DKK100 million to DKK150 million. But again, a lot of this or the majority is non-cash. When we look at the hearing implants, when we evaluate the first half year, it consists of two elements. One is the bone-anchored business that we still hold for sale, which is a profitable business was through first half year and continues into second half year, whereas we have realized a loss in the CI business of DKK87 million. Part of this is loss from operations and the remaining part is lost in the transaction from writing down the remaining balance sheet items. Expectations for second half year as we are now out of CI is to realize a profit for the bone-anchored business. And thus, the updated full year expectation is minus DKK50 million from the hearing implants for the full year. So what we sum up for the year now is a net loss of DKK550 million. Again, a significant part of this is noncash. And what we, as a business, have on our books at year-end is two businesses for sale that are both profitable and will be profitable going into 2025. With this, we'll hand over to Outlook.
Søren Nielsen: Yes. Thank you very much. And on the current slide here, all the discontinued operations you have just been through, and that's the only change. So we'll skip this slide. No more need to go into more details. And on the outlook, you have heard all the messages, the only addition to the news on the discontinuation of business is a positioning, you could say, on our expectations on share buyback, where we now expect to buy back shares for around DKK2.3 billion, which was previously stated as more than DKK2 billion. So with that, I think we should quickly go to Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. The first question today comes from Martin Parkhøi with SEB. Please go ahead.
Martin Parkhøi: Yes, very good after. I’m Martin Parkhøi of SEB. I have two questions, one on Managed Care and one on EPOS. Firstly, on Managed Care, maybe you could say a little bit about when you expect to see this negative impact from your chosen Managed Care strategy should be in the comparison figures. And on that note, Søren, you say it, of course, that we have not been able to fully compensate on the loss in managed care with more sales and independent. My observation normally is if that would happen, then it would have probably happen right away. But do you still believe that you could see that impact later? And then the second question on adjusted EPOS, now you're taking the initiative to restructure EPOS to become more profitable and make it more attractive. But if you after this also will not be able to find a buyer and you decide to close it down how much additional cost should we see from that? Or is that maybe already part of the restructuring you're doing in the second half?
Søren Nielsen: Yes. Thank you, Martin. Let me first speak to Managed Care. The annualization happens when we reach second quarter, meaning after first quarter, because when we say not fully compensated, it actually, it came more or less overnight, and there's no chance that you that quickly can see that effect. These managed care players, they still refer patients. And for some, it's a natural thing that they then find another position to be able to promote the Oticon products or the latest technology from Oticon. But for others, it's also a training effort more than a way of seeing their own business. So these things when the negative effect come basically immediately, there is no chance you can do it right away. I definitely expect to continue to see positive sentiments around the strategy for the independent but of course, also expect to see growth in managed care. We are not doing this not to be in managed care. We are doing this to better position our brands across the various channels. So people could say, have a free choice and you can see different products and different service models also somewhat justified in different pricing.
René Schneider: Yes. And on the EPOS question, Martin. So even though this is a very sizable restructuring both from a balance sheet and you can say, organizational perspective. It only includes the current plan, right? So there's no element built into the scenario that you mentioned, and we certainly don't expect to end there. We believe it's a very, very solid plan that rightsizes the OpEx spend to less than half of what it was last year and the sales that it takes for that company to be profitable is in line with or actually slightly lower than what we have realized for many months now.
Martin Parkhøi: But can I just follow up, René. Have some of the people you are coming to talk to have said that they would be interested after you have done this restructuring, and I don't understand why don't they just do it themselves if they really are interested in the asset?
René Schneider: So Martin, it has been clear for us that this particular item has been a barrier for entering into an agreement, but it doesn't come with a commitment on the other side, obviously. But it is our assessment that this is what it takes to make it an asset that also buyers would be willing to sign an agreement on, but it doesn't come with a specific commitment. And obviously, we sit on the inside, and we know how we can undertake such a restructuring that is, of course, difficult when you sit on the outside, even though you have access to all data.
Martin Parkhøi: Okay, thank you very much.
Operator: The next question comes from Julien Ouaddour with Bank of America. Please go ahead.
Julien Ouaddour: Hi, good afternoon everyone. So my first -- I mean, sorry, I have two. So my first question on product. So I'm sure you had a look at your main [Indiscernible] service and product launch. So I was wondering, what do you think about the fact that they also went for like a deep neural network tech let's say, also succeed to add a second chip in the device to a real-time AI. So is it something you worked on to? Or does it come as a surprise? And what are the main differences versus your DNN version? And my second question is on guidance. It happened in the past that the guidance could have been slightly optimistic. This time, it seems that you're taking a conservative approach in your assumptions, especially in managed care and with independence. So I was just wondering, is there potential further downside here? And like the -- what is the bare case and are you reflecting the bottom of the guidance? Thank you.
Søren Nielsen: Yes, thank you very much. I think it's limited what we can say on competition. We have only seen a very high-level presentations and of course, with material produced with the purpose of impressing customers and leave very good impressions behind. I think the most important is, I think I've been asked many times what's the next kind of paradigm shift in hearing aids and technology. And I think I said numerous times that I believe AI-driven processing is the future. You get a speed, you get an ability to recognize things that are otherwise very, very difficult to detect and react on that. And our core purpose in designing hearing aid is to improve signal-to-noise ratio, meaning making speeds more clear. We have worked on this for now three product releases, and we feel we are a significant step up the curve in utilizing these technologies, whether they are then made with one chip or two chips or so on. I think everybody knows today that deep neural network depends on how you have trained it and what it have learned and how fast it is and so on. I feel we are very mature, we are well positioned to compete in this space. It's the core of hearing aids and the design of them. And again, I pay less I think it's less important, whether you have used one or two chips, whether the is a so-called dedicated AI chip or it's running on a normal DSP. I don't think that's the challenge or the purpose is, whether you have a trained network that actually knows what it needs to look for and what to do if it finds it that's still the core ingredients. You know better than the actual engine that you impact and the results you can obtain. So we feel we're in a good position, and it's a confirmation and a testament to the strategy and the way we have read future technologies. I cannot comment on whether guidance is optimistic or conservative. We always try to put forward our best view on things and there is uncertainty, things are very competitive and to some extent, dynamic in our industry. This is our best reflection at the current time or assessment as done in July and confirmed now that this is a reflection of the realistic ambition for the full year.
Julien Ouaddour: Thanks a lot, Søren. If I can just follow up on the -- like on the second question. So I mean, is there a potential for, let's say, like even more market share loss with like with Manage Care or have you reached sort of kind of the bottom at the moment? And also with like independents, I mean what did you put in the guidance in terms of like market share momentum for H2?
Søren Nielsen: Yes. Market share is always a funny fish. Is it units we talk about? Is it revenue? You can obviously, I think, see from our numbers that we have a healthy development in sales of premium solutions and products, especially in channels that have a good pricing, therefore, a strong ASP. So we have, in this scenario, basically expected somewhat continuation of that in the second half where we do believe we will hopefully gain more is in some of these high volume where we have lost, so you would say, a more balanced result between units and ASP in the second half. And to your first part of your follow-up question, whether we can lose more share in the Managed Care as a big one. I would say that would be pretty difficult right now. So there’s not, on that account as we approach an upside more than a downside.
Julien Ouaddour: Perfect. Thank you very much.
Operator: The next question comes from Maja Stephanie Pataki with Kepler Cheuvreux. Please go ahead.
Maja Pataki: Hi, good afternoon. Also two questions from my side, please, Søren. If we look at Managed Care, and I have been talking about the fact that you've been losing significant share and you say that it's difficult to lose more. But at your Capital Markets Day, you've been talking about the fact that you want to establish Bernafon as the brand with Managed Care. Now can we talk a bit about where you are in this process? Are they open to listen? Are they currently so annoyed that they don't even want to look at product. It would be very helpful to understand how the process looks on that side. And then also, there are a couple of hopes in the market, I would say that 2025 is going to be a great year because France is annualizing or the reform in France is annualizing and that is going to result in fantastic market growth, and therefore, you should benefit. If we look at what happened in Germany, that clearly is something that we've seen. Do you have any expectation what the French market could look like in 2025? Thank you.
Søren Nielsen: Yes. Thank you, Maja. First of all, on managed care. I would say we are, generally speaking, in good and constructive business dialogues with all players, our strategies have presented. There is also no doubt that Bernafon is technology-wise, not that known in U.S. We have sold in many other places in the world for a longer period. I think we are approaching a point where it is recognized that it is also a great technology and representing the latest technology from the group, whether that is enough to sign contracts and get on formulas is still too early to say. But I would say we are in good constructive dialogues with a number of players. And definitely see and expect the listing of Bernafon with some of the players, if not already, then very soon.
Maja Pataki: Søren, just quickly to follow up on that. Sorry to interrupt you. Just quickly to follow-up on that one. Out of experience, when you say constructive conversations by the time you reached an agreement until the products start to be sold and enter your numbers, what kind of time frame are we looking at? Can that be turned around within a month? Or is that a three months’ time frame? Just to have a bit of a kind of idea how a potential path going forward would look like?
Søren Nielsen: Yes. And it is, of course, something we cannot say with firmness because we have not experienced in it. It will take a training effort. It will take a success and trial. I could say in other markets, we have gone through similar you would say, repositioning of our brands. And yes, it does take a bit of time until you get used to new stuff and the fitting system and so on. But our training divisions, our salespeople are geared for that. It is happening in the same outlets as we come to do training on Oticon. So it's not that it's like a totally new channel. It's the people that buy it is one part of the system. They never touch the device. The actual fitting happens with customers that we know well. And therefore, I anticipate will also pay attention to the needed training and so on, if they are interested in being on the contract with TPAs. So I cannot tell you right now exactly what I expect I think we should have some caution being overoptimistic, but on the other hand, it will -- I'm sure it will come. And then second part, French market. I think it will definitely be positive because we had such a tremendous in sale and influx of people have not done anything for years and got their first hearing aid free of charge. So there will be a big renewal wave you can say coming next year for sure. It is also the case that when you have had your hearing aid for free, then there are some that end up not using it and never really get satisfied. So you do lose a little bit more. We know that in other markets with free-to-client channel. So we cannot just do a mathematical how many are still alive and need a new hearing aid. But I foresee a significant proportion of the people that got one four years ago will now look if it's time for an upgrade.
Maja Pataki: Great. Thank you.
Operator: The next question comes from Niels Granholm-Leth with Carnegie. Please go ahead.
Niels Granholm-Leth: Yes, thank you. So speaking about your brand repositioning, it seems like that you are no longer a supplier or have scaled down your supplier ships to several bigger chains. Is this the result of part of the same change to your branding strategy as in managed care? And does this have any implications as to your willingness to produce private label hearing aids? Thank you.
Søren Nielsen: It's a very easy answer. No, the brand repositioning is purely alone U.S. managed care discussion our strategy choice. The rest is, I would say, regular business discussions. And I would say we have had a slightly disappointing first half. And actually within commitments we have, we expect growing sales in second half if everybody lives up to the agreements we have. We should have a nice upside there in the second half, and there is no change to our ability or willingness to do private label anything. No changes, no changes.
Niels Granholm-Leth: And so it's not because you have tightened your pricing discipline towards some of the bigger chains that you are no longer present.
Søren Nielsen: Pricing is always a discussion with larger players. And from time to time, they decide to do something else. And from time to time, we manufacture decide to change our pricing, and that's the ongoing discussion, of course. We are not in a special place right now. I think we are just seeing results and consequences of discussions in 2023 and with the business going. And we, of course, constantly look at whether we think we have found the right price points or the rise pricing in the balance between also making money and on that channel.
Niels Granholm-Leth: Great. Thank you.
Operator: The next question comes from Veronika Dubajova with Citi. Please go ahead.
Veronika Dubajova: Hi, guys. Good afternoon and thank you for taking my questions. I have two, please. One, just trying to understand the change in magnitude and the downgrade of the organic revenue growth guidance. And even if I made a fairly sizable assumption about your managed care business and assumed it has gone entirely to zero without any offset. It's clear that there is something else that's happening. So I was just curious if you could kind of outline the magnitude of impact when I look at the downgrade to the organic, what's driven by Managed Care? What's driven by those large accounts? And to what extent are you reflecting anything else that might have not gone fully to plan as you've kind of downgraded the guidance a month ago. So if you can maybe just elaborate, I know there's been a lot of folks for Managed Care, like mathematically, there must be something else going on that's not just managed care. So if you could talk through that, that would be helpful. And then the second thing is just on the market dynamics. Obviously, we heard this from Amplifon it remains the theme that the European market is subdued. Just curious, on what you think is going on? And how long do you have to wait what change for that market momentum to improve and return to the historical norms. Because we've been here kind of trending along the bottom for now 24 months. When is it going to get better? And what do you think needs to change? Thanks so much.
Søren Nielsen: Yes. Let me first speak to the revenue. It is the majority and single biggest factor is managed care and our brand strategy. But there is also, if we say that was around a third of things around a third that happens or that relates to other topics around the hearing aid business, and I'll mention an example or two afterwards. And then there is, of course, also diagnostic and in hearing care China as an example. Other things in hearing aids. One example is we had higher expectations for growth in the VA channel, growth in the size of the VA channel. We had not in our plans, and we had hoped for a recovery. During the year, we have not seen that it would get up and show normal and regular market growth that we have normally seen. So that's just an example. Then we spoke to the -- some of the bigger channels moving high volumes at lower prices. And as I just replied in the answer to Niels, we have seen some where we have been below expectation in first half and have some upsides in the second half, but we have also seen others where we have not managed to regain that momentum. And therefore, yes, that's the total picture. Diagnostic I've been through the reasons and again, market-driven. And China, you could say, market access. We don't see these things significantly change short term. We do, of course, long-term see the same outlook for diagnostic then China, hearing care is another example of things where we, in the beginning of the year had expected that things would improve gradually during the year. But have not seen that. So those are examples of Veronica and of course, under the hood, a few more details, but these are the bigger things.
Veronika Dubajova: That's helpful. And then your thoughts on market growth in Europe and what it takes for it to return to the historical norms?
Søren Nielsen: France is of course, a big part of it. We had a surplus in 1 year and then less the following 2 years. But if you look at France or 3 or 4, 5 years, you will come to a very positive result. We have seen some regaining momentum in Germany, but also the pure growth expectations in Germany due to demographics is slightly lower than many other markets. And then U.K. have shown to go up and down depending on the efficiency of the National Health Service total supplies. You can see how much it can swing between two quarters. So I think this is in Europe, in general, have historically, and again, due to demographic pen below both North America and rest of the world, but we should definitely see a higher average, maybe more like 3% to 4%, then the 4% to 6% we see in average.
Veronika Dubajova: That’s great. Thanks so much.
Operator: The next question comes from Martin Brenoe with Nordea. Please go ahead.
Martin Brenoe: Hi, thanks very much for taking my questions. Most of them have been answered. So I'll just do two housekeeping questions, if I may. The first one is on the gross margin that you delivered here in H1, which is quite impressive. Can you maybe just give a bit more color how sustainable that is also given your thoughts on big accounts with lower [ph] ASP, where you are now seeing some momentum? Again, can you just elaborate a little bit on how we should think about the gross margin going forward in H2 and maybe also a little bit beyond in terms of how structural this margin is? And then on the OpEx side. I get the organic part of the equation. How much should we expect in terms of OpEx growth in H2 from let's say, acquisitions that you have conducted over the last 12 months or so. Thank you.
René Schneider: Hi Martin, I will take a stab at the question in here. So on the gross margin, yes, it is, you can say, unusually high. And when we typically soft guide on this, it is 76% to 77% gross margin that we guide. So the 76.8% is definitely on the high end of that and driven by the factors that we have already discussed. And you can say, going into second half year, if -- as we expect to see, let's say, a more normal product mix given also customer and geographical mix, then it is likely that you will see a slight setback on the gross margin, still higher than last year, I would say. On the OpEx side, we went through the organic part, but expect the acquisition contribution to be similar to first half year.
Martin Brenoe: Okay. And maybe just for the sake of my understanding. Can you just help me explain a little bit what you have in the toolbox in terms of what you can do to cut costs in your core business?
René Schneider: So you mean on the -- yes, but as a consequence...
Martin Brenoe: Yes, the efficiency program.
René Schneider: Yes. So as a consequence of being below our own expectations and guidance, we have implemented, you can say, company-wide general policies on expenses, whether it comes to hiring or replacements and general strong focus on prioritizing activities, ensuring, again, very generically, a short-term focus on sales-generating activities, and maybe postponing a little bit more things that would have a more long-term outlook. You can say internal events, also that type of thing. So it's very broad-based across the P&L, and it essentially applies also globally and in all business areas. But of course, focus on sales is where we don't, let's say, cut short on things
Martin Brenoe: Got it. Thanks so much, René. Thanks for taking my questions.
Operator: The next question comes from Christian Ryom with Danske Bank. Please go ahead.
Christian Ryom: Yes, good afternoon and thank you for taking my questions. I have two as well. The first is to the Diagnostics business and specifically the prospects for that business in the European market. So as I read your report, I understand that you had that European markets were drag on growth, and my question is essentially whether that's sort of a temporary dynamic as you see it or something that might extend for a few more quarters over coming quarters? And then my second question is on whether -- or to what extent the wholesale brand decision that you've taken vis-à-vis managed care in the U.S. is also impacting your retail hearing care business? And if so, how meaningful that is? Thank you.
René Schneider: Yes, Christian, so on the diagnostics in Europe, actually, a big part of what we call out here is a significantly lower sales to the NHS, where the same dynamics also apply there when it comes to both staff and capital equipment investments there. And we don't have any particular insight as to when you can say, their modus operandi will normalize. We anticipated to some extent, of course, in the second half year. But currently, they are significantly below last year on a run rate basis. That's the main driver for Europe.
Søren Nielsen: And on the hearing care in U.S. and the brain strategy with managed care, before the decisions were taken and implemented on the brand strategy on wholesale, we were already working to reduce the amount of managed care in our Hearing Life business in U.S. And we can only say that the decisions make have been further supportive for this process. So we have now -- I think -- so I wouldn't dare to say all-time low share of it and we have succeeded in the transition to more cash pay.
Christian Ryom: Thank you very much.
Operator: The next question comes from David Adlington with JPMorgan. Please go ahead.
David Adlington: Hi, guys thanks for the questions. Again, sorry, again on Managed Care. It doesn't sound like it, but I just wanted to double check whether you're contemplating any change in strategy there given the fact it hasn't gone quite as planned. And then secondly, just in terms of China, I just wondered what your thoughts were there in terms of seeing a recovery in the market. Is that something we should expect in the second half of this year or maybe more looking into next year? Thank you.
Søren Nielsen: Thank you, David. You have heard it all right, there is no change. I think the conclusion is the negative reaction or the consequence short term, we're bigger. And it also takes a longer time to go through the process of explaining the strategy and seeing the benefits of it. We definitely also think there's benefits for the managed care players in getting access to the Bernafon brand. So it just takes longer than anticipated and short-term consequences are bigger. The recovery of the Chinese market, the biggest issue is we have no statistics. So it's basically in the first place, a big, big estimate and a little more what happens in some of our good customers and what happens in our own stores and extrapolating to that assumed size or number of outlets in the market. So it's difficult, and we have -- we are not basing our plans on a big recovery this year. We, of course, still assume that China eventually will return to growth. There is a lot of untreated hearing losses. And when the financials are there, I think we will also see both uptake in volume and also, again, a growing ASP in the market. It is both of the things that currently are under pressure, those that buy, buy less spend less and some of those that were not sure whether or not to buy are not doing a lot of hearing aids in China paid by children. And if unemployment go up, we, of course -- not of course, but we do see shortly after a consequence, which is totally obvious to the rest of the world where the baby boomer generation is in reality a well-off generation, and they pay their own bills.
David Adlington: Thanks.
Operator: The next question comes from Robert Davies with Morgan Stanley. Please go ahead.
Robert Davies: Hi, thanks for taking my questions. The first one was on the Bernafon versus Oticon kind of offering. I just wondered from a sort of getting it into the sort of target audience? Is it a brand issue? Or is it a tax differential versus the Oticon product that is kind of causing concern. I just was curious on the sort of main sort of areas of pushback that the customers have given you there. And then the second one was just around in terms of your comments of making up the sort of volume from managed care with additional growth in the independent channels. Why -- what has been the core reason you sort of struggled to make up that volume growth in the independent channels in your view? Thank you.
Søren Nielsen: Yes. Thank you very much for your question. I think it's on the first question. Its knowledge, it's reputation, it's history. Oticon has a very, very strong brand in U.S. and a long legacy and well-known in the market where Bernafon is relatively unknown. And therefore, there is a similar effort in training, explaining, showing that this is equally as Oticon strong technology that will deliver strong outcome for patients and users. So that, I definitely think we can overcome over time. Remember, we have just relaunched Bernafon in an updated brand position and also changed the strategy. If you look back, let's say, 5, 10 years, these other brands had a tendency to come later with new technology today, all our brands are carrying latest technology more or less at the same time. So we also have to make sure that any channel when choosing a brand feel that they are comfortable they get access to latest technology. And that is the case for Bernafon and that's part of making sure that's understood there. And then back to the compensation, as I tried to explain before, we simply lost it so fast that there was no change you could have compensated. I actually think we have seen a reaction and yes, from incentive from customers. But again, habits and how do I actually work with it? How do I benefit from it? And -- or how do I explain that I should buy direct. For some, it's very natural and straightforward. For others, you have to help them be better in explaining their own the choice the users have.
Robert Davies: And can I just squeeze in one follow-up just around the -- I guess, the unit growth differential between the U.S. commercial channel and VA. It's obviously pretty stark, right. I mean you had 13% and 6%, I think, in the commercial channel and minus one and one in the VA channel. Just looking forward into the second half of this year, do you see any scope for that gap to close?
Søren Nielsen: No. And that's also part of our adjustment of expectations. There seems to be no change to the budget constraints that are put across VA in general. This is not a hearing phenomenon. This is VA in general. And there is a lot of limitations on the ability to rehire staff why you basically see a shortage of staff and therefore, lack of capacity. The only thing that would help would be to fill empty positions and see more capacity getting into the system. Then on the other hand, you would actually, I would assume some kind of boom, there is, for sure, an element of pent-up demand in VA. There might be some sliding into the private market. We also see that in Denmark and other government, whether it's a government channel with free to client that if the waiting list gets too long, some people simply changed channel. So maybe there is also an element of why we have seen the growth we have in the commercial that there might be veterans that choose to go private.
Robert Davies: Understood. Thank you.
Operator: The next question comes from Shubhangi [ph] Gupta with HSBC. Please go ahead.
René Schneider: All right. I don't think the line was open there, but let us know if you have a follow-up question, and we are happy to help after that. So just for everybody, thank you so much for joining the call today. If you have any further questions, you know how to reach us. And we hope to see most of you on the road over the next couple of weeks. Have a good rest of the day. Thank you so much.
Operator: The Conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.